Operator: Thank you for standing by. This is the conference operator. Welcome to the Eldorado Gold Third Quarter 2025 Results Conference Call. [Operator Instructions] And the conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Lynette Gould, vice President, Investor Relations, Communications and External Affairs. Please go ahead, Ms. Gould.
Lynette Gould: Thank you, operator, and good morning, everyone. I'd like to welcome you to our third quarter 2025 results conference call. Before we begin, I would like to remind you that we will be making forward-looking statements and referring to non-IFRS measures during the call. Please refer to the cautionary statements included in the presentation and the disclosure on non-IFRS measures and risk factors in our management's discussion and analysis. Joining me on the call today, we have George Burns, Chief Executive Officer; Christian Milau, President; Paul Ferneyhough, Executive Vice President and Chief Financial Officer; Louw Smith, Executive Vice President, Development, Greece; and Simon Hille, Executive Vice President, Operations and Technical Services. Our release yesterday details our third quarter 2025 financial and operating results. This should be read in conjunction with our third quarter 2025 financial statements and management's discussion and analysis, both of which are available on our website. They have also both been filed on SEDAR+ and EDGAR. All dollar figures discussed today are U.S. dollars, unless otherwise stated. We will be speaking to the slides that accompany this webcast, which can be downloaded from our website. After the prepared remarks, we will open the call for Q&A. At this time, we will invite analysts to queue for questions. I will now turn the call over to George.
George Burns: Thanks, Lynette, and good morning, everyone. We are pleased to welcome Christian Milau as President joining as part of my succession planning. Christian has already been actively engaged with our leadership team through recent budget and strategy discussions and has met with a number of our shareholders and analysts since joining last month. He brings a fresh perspective and a strong focus on our key priorities. His appointment further strengthens our leadership team as we continue to advance our growth strategy and position Eldorado for long-term success. Turning to the outline for today's call. I'll begin with an overview of our third quarter 2025 results and highlights. I'll then hand the call over to Christian for his remarks, followed by Paul on our financials and then Louw and Simon with an update on projects and operations. Turning to Slide 4, our third quarter highlights. We achieved safe production of 115,190 gold ounces and generated approximately $77 million of free cash flow, excluding securities investment. Operational performance remained strong at Lamaque, benefiting from early processing of the remaining portion of the second Ormaque bulk sample. Kisladag had fewer tonnes placed on the pad and lower grade stack as a result of reduced equipment availability and short-term mine plan resequencing as well as placement of ore on a test pad for the whole ore agglomeration project. Efemçukuru maintained stable production, while Olympias had challenges from stockpiled ore containing the viscosity modifier used in the tailings paste backfill that negatively impacted the process water chemistry in the flotation circuit. During the third quarter, we improved management of the stockpile of ore but modest negative impacts on metal recovery may persist as we continue processing material from affected backfill stopes and stockpiles. Given our strong performance through the end of the third quarter, we are tightening our 2025 guidance range on gold production and now expect to be between 470,000 and 490,000 ounces. Turning to cost. We have revised our 2025 guidance upwards. Total cash costs are now expected to be between $1,175 and $1,250 per ounce sold and all-in sustaining costs are expected to be between $1,600 and $1,675 per ounce sold. These increases were primarily driven by: one, record high gold prices and recently enacted higher royalty rates in Turkiye driving higher royalty expense; and second, lower-than-expected performance at Olympias has resulted in lower byproduct sales, higher processing costs with production expected to be at the lower end of the guidance range. Additionally, for 2025, we also expect sustaining capital cost to be at the higher end of our $145 million to $170 million guidance range. In line with previous 2025 guidance, operations growth capital is expected to be between $245 million and $270 million. Lastly, at Skouries, project capital investment for 2025 has been revised upward to between $440 million and $470 million as a result of the acceleration of work originally planned for 2026 across several noncritical path areas and proactive derisking efforts. The estimated overall project capital remains unchanged at $1.06 billion. We are on track with accelerated operational capital and are maintaining our guidance of $80 million to $100 million for 2025. Turning to Slide 5 in the third quarter. Our lost time injury frequency rate was 1.21, an increase from the LTIFR of 1.10 in the third quarter of 2024. We recognize there is always room for improvement and remain committed to continually strengthen our safety performance. Throughout 2025, we're advancing health and safety initiatives. These efforts are reinforced by the multiyear rollout of our Courageous Safety Leadership program launched earlier this year. On sustainability, our team in Quebec recently welcomed a delegation of external and internal verifiers to complete the verification against the standards of: one, our sustainability integrated management system; two, the Mining Association of Canada's Towards Sustainable Mining initiative; and three, the World Gold Council's Responsible Gold Mining Principles. The objective of the integrated verification was to demonstrate our commitment to health and safety, social and environment performance. While the reports are in the process of being finalized, we are encouraged with the preliminary results and look forward to sharing our performance when they become available. During the quarter, we continued to execute on our share repurchase program, buying back and canceling approximately 3 million shares for a total of $79 million. For the 9 months ended September 30, 2025, repurchases have been approximately 5 million shares for a total of $123 million. The program reflects our continued commitment to disciplined capital allocation and returning value to our shareholders. With that, I'll turn the call over to Christian to say a few words.
Christian Milau: Thanks, George, and good morning, everyone. I'm very excited to be joining you today in my new role at Eldorado. While I've only recently joined the company in September, pleased with the company's strong culture, talented people and high-quality asset base, including operations and projects in attractive mining jurisdictions with long average mine lives and significant prospectivity throughout the portfolio. I have already spent considerable time with our leadership teams through initial budget strategy meetings. These sessions have given me a strong sense of the ambition, opportunities and discipline that will guide the company during the next phase of the strategy as well as the strong alignment around delivering sustainable value to all stakeholders. What stood out most to me is the depth of talent, the capacity across the organization and the clear commitment to safety, operational and ESG excellence as well as disciplined capital allocation. My focus in the months ahead will be on supporting our teams as we advance our near-term priorities and ensuring that we positioned -- we're positioned to deliver our long-term strategy as we go through the Skouries' cash flow inflection point in 2026. Having just returned from our sites in Turkiye and with visits planned to Greece and Quebec in the coming months, I'll have the opportunity to see all the mines firsthand. The visit so far stood out to me with the excellent commitment and pride on display. It's been impressive to witness the energy and collaboration of our teams on the ground, and I look forward to continuing to engage with more of our sites, communities and investors in the months ahead. With that, I'll now hand over to Paul to walk through the financial results.
Paul Ferneyhough: Thank you, Christian. Moving to Slide 6. Our third quarter results reflect consistent operational performance and are aligned with our tightened full year production guidance. Robust gold prices have contributed positively to cash flow from our operations, further supporting our capacity to execute our strategic and operational investments in the coming months. In Q3, Eldorado reported net earnings from continuing operations of $57 million, equivalent to $0.28 per share. Excluding onetime nonrecurring items, adjusted net earnings were $82 million or $0.41 per share for the quarter. The principal adjusting item was a $22 million unrealized loss on derivative instruments, primarily due to gold commodity swaps. Free cash flow for the quarter registered a negative $87 million. However, underlying free cash flow, excluding capital investments in the Skouries project amounted to positive $77 million. Turning to our producing assets. Cash flow from operating activities before changes in working capital totaled $184 million during the quarter. Our corporate gold price collars will continue to settle monthly through the year-end with approximately 50,000 ounces outstanding for the fourth quarter and an upper limit of $2,667 per ounce. Following the expiration of these collars, we will be fully exposed to market gold prices with only minimal hedging derivatives remaining tied to the Skouries project financing facility. Production costs for the quarter reached $164 million, representing a $23 million increase over Q3 2024. 1/3 of this increase is attributable to higher royalties while the remainder stems from the rising labor costs in Turkiye, where inflation continues to surpass local currency devaluation, and at Lamaque where additional labor and contractor expenses were incurred due to the planned deepening of the Triangle Mine. In Q3, total cash costs were $1,195 per ounce sold and all-in sustaining costs or $1,679 per ounce sold. Gross capital investments at our operating mines totaled $58 million for the quarter. At Kisladag, these expenditures included planned waste stripping and equipment costs related to construction of the North Heap Leach pad second phase. At the Lamaque Complex, investments focused on the Ormaque development as well as construction of the North Basin water management facility and initial procurement for the recently approved paste plant. Progress continued at Skouries, including facility and process construction as well as early mining activities in both the open pit and underground areas. Throughout the quarter, approximately $138 million was invested in the project, supplemented by an additional $18 million in accelerated operational capital for self-performance of open pit mining operations. Current tax expense for quarter 3 was $52 million, reflecting a $13 million increase from the prior year period, attributing to improved profitability in Canada and Turkiye. Deferred tax expense stood at $2 million compared with a recovery of $11 million in Q3 2024. This included a $4 million expense related to net movements against the U.S. dollar, mainly driven by the lira and euro partially offset by the reversal of temporary differences. Advancing to Slide 7. Our balance sheet remains robust, providing the flexibility needed to support growth initiatives and return capital to shareholders. With liquidity totaling approximately $1.1 billion, we continue to be well positioned to invest in our cash-generating assets, advanced Skouries towards completion and create additional value through disciplined capital allocation and the NCIB program. Earlier this month, and with Skouries production coming ever closer, several staff members attended LME Week in London, the foremost annual event for the global metals community. Productive discussions were held with traders and smelters regarding the sale of our high-quality, clean copper-gold concentrate from Skouries. As a result, we anticipate finalizing initial multiyear offtake contracts by year-end. With this overview concluded, I will now hand the call over to Louw, who will present the highlights of our Greek assets.
Louw Smith: Thanks, Paul, and good morning, everyone. Let's begin with Slide 8, which highlights the progress at our Skouries Copper Gold project. As of the end of Q3, overall progress on Phase 2 construction reached 73% and 86% when including Phase 1. We remain on track to achieve first copper gold concentrate production towards the end of the first quarter of 2026. With commercial production expected in mid-2026. We now have approximately 2,000 personnel on site, including 236 members of the Skouries operational team. This strong workforce has enabled us to derisk several areas early. Our skilled labor ramp-up began with concrete, structural and mechanical trades and is now transitioning to electrical, piping and control systems. While we've exceeded our labor targets, our focus remains on aligning skilled resources with active work fronts to support our execution plan. From a productivity standpoint, construction performance continues to track at or slightly above plan across the site. On the bottom of Slide 8, you'll see a photo of the open pit. This week, our fourth crew started operating, enabling the transition to a 24/7 rotation. As of the end of October, we had stockpiled approximately 531,000 tonnes of ore from the open pit and an additional approximately 93,000 tonnes from the underground, containing an estimated 21,000 ounces of gold and 5.5 million tonnes of copper, positioning us well as we prepare for commissioning and initial concentrate production. Turning to Slide 9. The photos here and on the following slides illustrate the steady advancement of work underway. Infrastructure around the process plant continues to progress. Final foundations for support buildings were completed in early October and structural mechanical piping and electrical work are ongoing across the key areas, including the substation, line plant, flotation blowers, compressors at guar area. The control building structure is complete with electrical installations underway on the first 2 levels. We have completed pre-commissioning of the concentrate filter presses and water testing of the flotation cells and tanks, preparation for pre-commissioning the pebble crusher are in progress. Moving to Slide 10. Progress continue on the thickeners, water testing of the first two thickeners is complete and piping installations have commenced following completion of the pipe rack installations. Slide 11 focuses on the filter tailings plant, which remain on the critical path. As of the end of October, structural steel installation at the filter tailings building was approximately 92% complete. The time lapse video showcasing this progress is linked for reference. Mechanical work progressed with the assembly of the filter presses with 4 complete at the end of the third quarter and the remaining tool on plan for completion in November with each press equipped with 98 plates. The compressor building steel structure is 98% complete and all 6 compressors and all -- and air receivers have been installed. As seen on Slide 12, construction of the crusher building structure is progressing. Concrete workers reached the final elevation above the foundation with the final wall lifts advancing. The primary crusher is assembled in position and work is underway on cable tray and internal structural steel stairways and platforms. Conveyor foundations between the primary crusher and the process plant, including the coarse ore stockpile are now complete. Conveyor preassembly and support steel installation are well underway. At the coarse ore stockpile on Slide 13, the stockpile dome foundation is nearing completion and assembly of the dome has commenced. The first of the 3 reclaim feeders and associated chute work has been installed with preassembly continuing on the remaining 2 feeders. Moving to Olympias on Slide 14. Third quarter gold production was 13,597 ounces and total cash costs were $1,869 per ounce sold. Production was impacted by flotation circuit stability issues earlier in the year, which led to a modification of the paste backfill blend to eliminate viscosity modifiers in the backfilled stopes. While plant operations recovered substantially in Q2, affected stockpile ore continued to be processed in the third quarter despite efforts to minimize negative impacts in the processing circuit, ongoing process water chemistry challenges further reduce the metal recovery during the quarter. While mitigation measures are underway, modest negative impacts on the metal recovery may persist as we continue processing material from affected backfill stopes and stockpiles. Progress continued on the planned mill expansion to 650,000 tonnes per annum during the quarter, with the early works advancing and demolition activities underway within the concentrator. All of the major equipment, including the verti-mill, flotation cells, thickeners, cyclones and E-room have been delivered. We expect progressive commissioning and ramp-up in the second half of 2026. We remain committed to driving transformation at Olympias. A comprehensive program is now underway to modernize and optimize the process plant and surrounding infrastructure alongside leadership and skills development program aimed at strengthening capabilities across all levels of the organization. I'll stop there and hand it over to Simon to discuss the Turkish and Canadian operations.
Simon Hille: Thanks, Louw. Starting in Turkiye on Slide 15. Kisladag production totaled 37,184 ounces with total cash costs of $1,309 per ounce sold. The decrease in production during the quarter compared to Q2 2025 was primarily due to lower tonnes mined as a result of lower-than-planned equipment availability and the resulting short-term resequencing of the mine plan. Fewer tonnes placed on the pad and lower grades from prior periods along with the placement of ore on the test pad to support the whole ore agglomeration study. The decision has been made to proceed with a whole ore agglomeration at the capital cost of approximately $35 million, reinforcing our commitment to enhancing permeability, improving leach kinetics and shortening the leach cycle. Over the life of mine, we expect operating and capital cost savings driven by a shortened leach cycle specifically the shortened leach cycle is anticipated to reduce sustaining capital expenditures through lower consumable requirements such as liners and associated pipeline. Installation of the agglomeration drum is expected in 2027, with long lead items expected to be ordered in Q4 of 2025. We made a strategic decision to decouple the whole ore agglomeration from the HPGR screening reflecting our continued focus on capital discipline. To support future optimization, geometallurgical studies, continue in order to characterize future mining phases and will evaluate the benefit of additional screening for the HPGR. These studies are expected in the first half of 2026. On Slide 16, at Efemçukuru. Third quarter gold production was 17,586 ounces at total cash costs of $1,522 per ounce sold. Gold production throughput and average gold grades were in line with the plan for the quarter. And now moving to the Lamaque Complex on Slide 17. Lamaque delivered production of 46,823 ounces at total cash costs of $767 per ounce sold. Third quarter production was positively impacted from higher throughput driven by processing the remaining portion of the second Ormaque ore sample. The high-grade ore was treated in a blend with Triangle ore and performed very well. I would also like to congratulate our team at Lamaque hosting during the quarter nearly 30 Quebec members of Parliament of Canada. The visit was a proud moment for our team as they showcased our commitment to innovation, operational excellence and sustainability leadership. And with that, I'll turn back to George for his closing remarks.
George Burns: Thanks, team. Before concluding today's call, I'm pleased to announce that yesterday, we finalized the sale of the remaining gold project, Certej. This transaction marks the end of a lengthy process aimed at divesting noncore assets within the portfolio. I look forward to monitoring the progress of the project given our retained equity and royalty. Gold prices have remained strong, but we've seen some sharp swings lately. Through this environment, we remain strongly committed to disciplined cost management, to protect and expand our margins. Capital allocation continues to be a key priority. We're returning capital to shareholders through our enhanced share buyback program while at the same time advancing our high-return growth initiatives across our global portfolio. This positions us for sustained growth, margin expansion and driving enhanced shareholder value as we enter the next phase of Eldorado's transformation. Thank you for your time. I will now turn it over to the operator for questions from our analysts.
Operator: [Operator Instructions] The first question comes from Cosmos Chiu with CIBC.
Cosmos Chiu: Welcome, Christian. Maybe my first question is on the transaction that happened earlier today. Fresnillo buying Probe gold with the support of Eldorado Gold. I guess my question is, George, has this always been the desired outcome for that investment? And then I guess broader scale, M&A is heating up in the sector. How do you see Eldorado positioned?
George Burns: Sure. On Probe, I mean, we took a toehold in Probe a number of years back with the view that there was a property package that could have potential supplemental ore to feed our really permitted mill capacity that exceeds our current run rate. And so our hope was that they would discover some high-grade, high-value underground opportunities that subsequently could be part of the Lamaque complex. Really how that has evolved as they've discovered a large, low-grade open pit opportunity. And as we assessed that opportunity, it really didn't stack up with our other capital allocation opportunities. And so when we heard this week that Fresnillo made an offer, it didn't fit our strategic initiatives going forward. And so we didn't agree to sign on to support that acquisition. On the bigger, broader M&A opportunities ahead, I mean, at Eldorado, our focus is head down, deliver the high-value project Skouries, Olympias expansion and other investments across the portfolio. That's our priority. As we come out of delivering Skouries in the first half of next year, and we're going to be positioned to continue to invest within the portfolio, but look for other opportunities externally. So I think we're in a great position in a great market. But for now it's head down focused on what we're doing.
Cosmos Chiu: Perfect. Maybe switching gears a little bit to Skouries. Certainly, sounds good to hear that it is on time for first concentrate in Q1 2026. As you have mentioned, the filter tailings plant is on a critical path. Louw did a good job in terms of summarizing it. But is there anything else that's on the critical path? That's number one. And number two, it is a fairly tight schedule, delivering first concentrate by Q1 2026 and it kind of straddles your holiday season. I know there has been some changes in the schedule in terms of work schedule. But how have you factored in potential workers taking time off during the holiday season. Does it really go kind of dead in Greece during those months or during those weeks? And how should we look at it in terms of kind of like looking at the risk on the time line for delivery by Q1 2026?
George Burns: Thanks for the question, Cosmos. Yes, so for a critical path, the dry stack filter plant given the short or the small footprint that we're dealing with there is the key focus for us. Obviously, everything in front of that has to be done and constructed on time to be able to put ore through that filter facility. But I did tell there's nothing at this point that we're worried about. Now looking forward, you hit the nail on the head. It's the transition to get the additional trades on piping the electrical and control system that are critical to delivering everything ahead of the dry stack filter plant. I'd tell you we have good visibility on that. The transition is evolving week-over-week, month-over-month and will continue right up to the first quarter, and then there'll be a dramatic drop off in construction workers and a huge focus on preparing for commissioning. So we're feeling good about that transition. We've got visibility on the required workers over the next 5 months, say. And as we say, we're on track to deliver first concentrate at the end of the first quarter.
Cosmos Chiu: Great. And maybe just one last question on Kisladag quickly, the whole ore agglomeration project. Could you maybe remind us what's the potential impact here on recovery, on throughput? And is it really just overall kind of potentially having less wear and tear on the HPGR longer term? Is that what we're trying to do here?
Simon Hille: Thanks, Cosmos. It's Simon. The whole ore agglomeration, the purpose of that is primarily to enhance permeability in the leach pad, so that we get a good contact with the lixiviant and the ore particles. And so where we see the best benefit there is, as we've reported previously, we've got a very long leach cycle. Our leach cycle currently is sort of around 300 days on average with enhanced permeability that comes with the whole ore agglomeration. We expect to see that reduced to 200 days. That provides us with the primary benefit of obviously getting our returns faster in terms of metal recovery, but also less infrastructure requirements in the longer term because we need less footprint in order to leach the tonnes in the plan. So at the moment, we're not planning any enhanced recovery in the model but faster kinetics generally are a positive sign for that in the long term.
Cosmos Chiu: Yes. Thanks, Simon. I forgot that the leach cycle is that long at 300 days. So 200 days certainly gives it much needed benefit.
Operator: The next question comes from Tanya Jakusconek with Scotiabank.
Tanya Jakusconek: Welcome, Christian, on board. So maybe, George, can I start with you? Just on Skouries, can I just review with you, we've got that end of Q1 for the concentrate first gold pour. We are then going commercial by mid-2026. Can you remind me again what your definition for commercial production is so that we can monitor the correct 60% of the mill or whatever, however you're going to define it, so we can model that? And then can you remind me from commercial, when do we actually get to steady state? And what do we need to get there? So that's my first question.
George Burns: Yes. Thanks for the question, Tanya. On the commercial production, we're expecting to be at 80% of design nameplate throughput at that point and then expect to get the rest to 100% by the end of the year. So that's the key criteria. We're feeling comfortable with that given that it's a single floatation circuit. Olympias is much more complex with 3 concentrates. And we've got already some of our operators from Olympias at Skouries going through training on that particular facility. And I think we're in good shape to deliver that ramp up.
Tanya Jakusconek: Okay. 80% of designed nameplate capacity to go commercial, is that 80% over 30 days?
George Burns: I believe that's correct.
Tanya Jakusconek: Okay. And then from midyear, you expect 6 months really of ramp-up to get to nameplate by the end of 2026 is what I heard. Is that correct?
George Burns: That's correct. That's what we're assuming.
Tanya Jakusconek: Okay. And then -- sorry. And with that, the old technical report and I say old because it is quite outdated, when are we going to have a better understanding? Obviously, as soon as you operate, you have a better understanding on operating costs, but when is the market going to be given an update on costing for this operation, both on the operating and sort of the capital sustaining costs?
George Burns: Yes. So we'll be updating the market on our 2026 guidance in Q1. And with that, will include the remaining capital spend and the operating cost post commercial production. So that will be the first window. Just to reference back to the technical study. So I mean we completed that technical study just prior to getting the financing in place and then initiating construction. So it's only as stated as the construction has been. But again, we'll be updating that as we work our way through next year and getting the actual results that can then be built into an updated technical study.
Tanya Jakusconek: Okay. So we would -- so you are expecting to give us an updated technical study in 2026?
George Burns: No, I'd say we're going to collect the data from 2026, and that will inform the timing and results in an updated study. So we haven't had a date on that. We're waiting for the results.
Tanya Jakusconek: Okay. All right. And then just secondly, as we come towards year-end, I know in December, you'll be releasing your -- and we're literally a month away or thereabouts for your reserves and resources. Can you talk to me about how you were thinking about cutoff grades? What are you thinking about inflation on your costs, gold price inputs. And how do these reserves look and resources?
George Burns: Yes. So I mean, the first thing on metal prices. So we're in the process of determining where to land on update on our reserve price assumptions. We use a look back on metal prices as well as staying consistent with our peer group. So we're expecting a modest increase in metal prices. Our focus is to keep our reserve price conservative, ensuring we have very strong margins to drive profitability in the company. So I'd just tell you, it won't be consistent with the peers, a modest increase in metal price assumptions, and we do all this in the fourth quarter at Eldorado so that we have the latest and greatest information to support our budget for next year and our guidance that we'll set in the first quarter. So -- and then in terms of inflation, cutoff grades, I mean, we're working through all those as we speak, and we use actual data and project through our life of mine studies that are done during the summer to set those assumptions. So it's work in progress. I would tell you we're not expecting any radical change in any of those inputs, a modest increase in metal price assumption.
Tanya Jakusconek: Okay. And do you expect to replace, do you think your reserves this year?
George Burns: Yes. I mean, we haven't finished the work. We're feeling good about it. Stay tuned. We're not far away from releasing that information.
Tanya Jakusconek: Okay. And then I guess my final question would be to Christian. Welcome on board, Christian, and you've mentioned in your opening remarks that you're looking forward to the next phase of the strategy and you visited all of the operations. So maybe you can share with us as you look at the company, what are your top 5 priorities for the next 12 months?
Christian Milau: Yes. Thanks, Tanya. And actually, just to clarify, I haven't visited them all yet. I said in the next month, I'll visit Quebec and Greece. I'm sort of following along with the preplan visits in our budget strategy cycle here. But I've been really impressed with what I've seen so far. Obviously, I've seen a lot of mines around the world and the ones at Tüurquie I got to visit last week and the week before, very impressive in terms of an ESG approach, in terms of how they operate, the longevity of the team and just the skill and experience and reputation in the industry. In terms of priorities, really for me right now, it's really getting an opportunity to settle in for me when I came in, looking at the culture and how I can slot into a team and really the transition with George, I think it is a wonderful period of time for me to just get caught up without the pressure of having a quick change. And you see in our industry, it happens quite often overnight and get up to speed with the budgets. We're going through that next phase of strategy for the 5 years coming once Skouries is up and running. And I think critical to us will be that post-Skouries cash flow inflection point and how to allocate the capital. So in our sort of 2030 strategy planning, that will be something we're going to be looking at very closely. And I don't have any answers for you today specifically because I think we're going through that process, but it's a wonderful time to be joining a group like this where, for me, the culture fit was really good. I think the team is diverse and deep. And I think the spread of assets is wonderful and the exploration upside and the long lives already in the portfolio are really exciting. And there's growth projects here are very valuable from our own cash flow. So it's kind of building all those into that next phase of the strategy as it sort of inflects and turns to cash flow generation from pure spending and building Skouries over the last couple of years.
Tanya Jakusconek: Okay. So I guess what I'm hearing from you, and maybe I don't want to have my own assumptions, but maybe you can tell me if this is correct. So you've taken a look at the team, the culture, you're happy with that. You're looking to get Skouries behind and producing so that we can then, number two, look at capital allocation, whether that's continued share buyback, dividends, et cetera, et cetera, for return to shareholders. Maybe you can talk about the portfolio itself, like what does Perama stand in here? Any of the other assets, Probe is noncore, anything else that you see noncore, other assets that you want to push through further in the Eldorado strategy?
Christian Milau: That's a fulsome question, Tanya. I think at this stage, when I looked at it, exploration and just continuing to extend and advance mine life is critical. And now there's an opportunity with these kind of gold prices in this environment. And again, my superficial early look is there's real opportunity to spend some money and focus on that. There's a great team here, I think, that has some plans and excitement around our current assets and in the countries we currently operate. So I think that will be one of the key elements. And Perama Hill, I mean, literally going through that phase of, I think, getting GIA updated and submitted. So assuming there's a permit over the next year or so, it would be nice to put that into the plans. I don't think we're quite ready to actually build the timing in yet. But I think there's been a good job done in Greece to build the sort of social license and the acceptance of the relationships. And when you look at Skouries and Olympias, there's a really nice platform. So I think Perama could come in afterwards, but I can't commit to timing at this stage, obviously. And as George alluded to, I think there are these opportunities, which Simon was saying in Turkiye to continue to improve, enhance and some of the operations are already underway and are performing well. In Quebec as well, there's exploration opportunities. There's already good results coming out of Ormaque underground, and there's an ability to expand that plant if there's enough ore there. So all those things could be part of the plan, but timing and specific commitments, I think it's a little bit early on that, but that's a good place to park some of the capital over time, I think.
Tanya Jakusconek: Okay. Well, good. Look forward to working with you.
Christian Milau: Thanks, Tanya.
Operator: The next question comes from Don DeMarco with National Bank Financial.
Don DeMarco: Maybe I'll just start off with Olympias. So obviously, the challenges in the flotation circuit were evident in Q3. And I heard on the call that they may persist for some time. And then concurrently, you've got this expansion underway. Does that expansion perhaps complicate things with regard to resolving the challenges in the flotation circuit? And maybe if you could just give a little bit more detail on when you think you might see a rebound in recoveries?
George Burns: Well, maybe starting with recoveries. I mean, we've seen a rebound just in the last 2 months. So when we're successful at managing the ore fed into the plant and not getting a slug of this viscosity modifier in the plant, we're seeing good recovery. So it's been good in the last 2 months. But if we get a slug of this material in, it messes up the process water, and it takes time to clean it up. So we end up lowering throughput. We end up getting lower recovery. And that's the reality looking backwards. As Louw mentioned, this is a cut and fill mining method underground. And so these -- we put this viscosity modifier in the cemented backfill in stopes between Q3 of last year and Q1 of this year when we realized we have this problem. So as we mine next to all those stopes during that period, we have the risk of getting the viscosity modifier into that fresh ore. And that residual risk will remain until the second quarter of next year. Obviously, our mine operators and our plant operators are day to day, shift by shift, managing the blends. We do have a design to take the higher risk stockpile ore and -- ore will be coming out of the underground and process it before it goes into the plant. So there were crushing and screening and taking the coarse material. It won't have a significant amount of that modifier in it, and that goes into the mill. The fine material, we're looking at permitting and the ability to wash it and remove that most of that viscosity modifier. So later on, that could be put in the plant. So these are the things that we're doing. And it's fair to say there's some risk remaining into Q2, but I'd say we're getting better at managing it. We're trying to be as proactive as we can to not have another significant upset. But as Louw said, the risk will remain. In terms of the expansion, really, there's no connection between this problem and the expansion. We're basically having to move some of the infrastructure like piping and cable trays to make room for the equipment that we're installing. So that work is in progress. We'll get that construction completed next year. It will be a staged approach. Some of the equipment will get stalled earlier in the year that will help improve the performance of the mill. The throughput won't happen until we get the grinding mill in and that happens in the second half. So we're expecting some really exciting results that come out of Olympias once we get this expansion completed. That's no longer the bottleneck. It will be back on the underground mine ramp up. And as we've talked over the last 2 years, we've done a really good job of debottlenecking the underground. So we get this mill expanded. Production goes up, margins expand, and we get this viscosity modifier behind us, Olympias will be a key contributor to cash flow.
Don DeMarco: Okay. And then on to something else then. With the guidance adjustment that we saw with Q3, costs are higher. But of course, some of the drivers of those costs are outside of your control, such as the Turkiye royalty rates and so on. Could you just give us maybe a rough percentage of looking at the delta in that cost increase, how much was within your control and how much was not?
Paul Ferneyhough: It's Paul here. So I think I heard you, you were breaking up a little bit, but the question is around our increase in our guidance for all-in sustaining costs. There's 2 things basically that have driven that. One that is in our control and that we've been dealing with and one that isn't. And they split about 50-50 in terms of how it's impacted our guidance for the rest of the year. So the first one is around gold price. If you remember, our original budget was set with a gold price of around $2,300. We're now assuming an average price to the end of the year of $4,000 an ounce. And at that level, we continue to see increased royalties, both from the absolute cost, but also the increase in the slate of royalties that we saw in Turkiye early in the year, and that's responsible for around 50% of the increase. And then the second 50% is really just a reflection of Olympias performance with those recovery issues and lower volume, and that has pushed up our per ounce costs. So it's 50-50 between them. We're not actually seeing any real inflation in costs in terms of -- versus our guidance for the year outside of that.
Don DeMarco: Okay. And then just as a final question. Also in Q3, we saw a big increase in your share buybacks quarter-over-quarter. So I just was wondering, going forward, do you expect to maintain the level of buybacks in Q3 or maybe ease a bit, increase a bit? Just kind of -- just to get your sense at this point? And then also while on the top of capital allocation, maybe even any additional color on the dividend or the timing of the dividend as I know Christian brought that up in his response to Tanya.
Paul Ferneyhough: Yes, sure. So as far as the share buybacks are concerned, we signaled at quarter end Q2 that we had extended our NCIB program for another 12 months with a maximum repurchase of 5% of our outstanding share capital. We do intend to be opportunistic around that. We think our shares are incredibly good value at the current level. But really, it's when there's opportunities in the market or if we're underperforming, then we will actually use the NCIB program to purchase those shares. As a good sort of working average, I would assume over the next 3 quarters that we continue to buy at approximately the same rate, okay? As far as dividends are concerned, I think we haven't changed our messaging around this. Next year is an inflection point for us in terms of cash flow generation as Skouries comes into operation. And that feels like a great time for us to then be considering if it's the right moment to put in place a sustainable dividend that we can stand behind going forward. And so I think that will be back on the agenda for us in terms of capital allocation as we move into next year.
Operator: The next question comes from Lawson Winder with Bank of America.
Lawson Winder: Thank you for today's update. If I could maybe push you a bit more on 2026 and the CapEx outlook. So for 2025 sustaining CapEx, we're running at the high end of the $145 million to $170 million. When you look to next year, I mean, is that higher end of the 2025 a pretty reasonable baseline for 2026? And actually, you know what I had asked a similar question for the growth capital at the operations. I mean, is that is the current $245 million to $270 million range, a decent level heading into next year?
George Burns: Well, again, we'll be updating you in the first quarter on next year's guidance, maybe a couple of comments that might help. So the Olympias expansion, that's obviously underway in Quebec. We're completing the second bulk sample, but we're in the middle of permitting for a paste backfill plant, an operating permit. So the timing on that is uncertain, but there'll be capital to spend on Olympias when we get those permits. So stay tuned for that. As well, Simon's walked through the whole ore agglomeration, and we've committed that $35 million. So we got to build all that into next year's plan depending on permitting. I'd say those are the moving parts. The rest of the portfolio is pretty consistent. And then on the growth capital, well, beyond that is Skouries, obviously, we've kind of walked through that Q1 is the bulk of the spend next year in Skouries and we're commissioning in Q2. So there'll just be some residual growth capital happening there. As you look forward on Skouries though, remember that the pit is up and running, we're in good shape there. The plant will be running next year. We've got the first blast on the test, but over the next 3 years, we'll be investing in that underground to get the infrastructure in place for it to ramp up to be the sole feed to the plant at the end of the next decade. So there's incremental growth capital that will be happening over the 5-year plan. Next year, some of that capital on the underground will begin to be spent, but the ramp-up really starts happening at '27. So it's hard to give you specific numbers on next year. Hopefully, I gave you a little bit of color there, and it's not too far away from given the specific updated guidance on '26.
Lawson Winder: Yes. Actually, that summary was very helpful. And I just would want to say, it's impressive that, that Skouries remains on track. And if I may, and just to cover off potentiality, should there be any delay, what would be a rough weekly or monthly holding cost of just keeping that going for a slightly extended period of time?
George Burns: Yes, the way I would describe it, we're comfortable. We have all the equipment and materials there. So there's no risk on that side. We have the workforce. We're over 2,000 people at site right now, construction and operations ramp up. So the impact next year if for some reason, it took a little bit longer to get the first concentrate, those fixed cost that we were going to spend on a monthly basis is about $15 million. So that's really the impact of a delay.
Lawson Winder: Okay. Relatively small percent of the overall CapEx. And then if I could -- I think I've asked you this before, but like I acknowledge you do not like to give guidance on gold production for -- on a quarterly basis. Just with Kisladag, there's obviously a lot of variability when it comes to the leaching times. Can you give us any sort of directional point or hint here on Q4, just when you consider what was stacked at the end of Q2, what was stacked in Q3? And yes, I'll just leave it there. Anything would be very helpful.
George Burns: Yes. I mean, again point you back to guidance, although Q3, we had some negative impacts, we're still going to hit our guidance at Kisladag for the year. As you say, Q4 is a little bit tough. We had lower placements, precisely understanding how that's going to impact Q4 versus Q1, it's difficult to say. There's a bit of art and science in heap leaching. But all I can tell you at this point, we're comfortable we're going to be within guidance at Kisladag for the year. And so Q4, don't expect anything dramatic one way or another. It's going to be a good year at Kisladag.
Operator: That's all the time we have for today. This concludes the question-and-answer session and today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.